Operator: Good day, ladies and gentlemen. And welcome to Halliburton Third Quarter Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions) I would now like to turn the conference over to your host today, Christian Garcia.
Christian Garcia: Thank you, Sean. Good morning and welcome to the Halliburton third quarter 2010 conference call. Today’s call is being webcast and the replay will be available on Halliburton’s website for seven days. The press release announcing the third quarter results is available on the Halliburton website. Joining me today are David Lesar, CEO; Mark McCollum, CFO; and Tim Probert, President, Global Business Lines and Corporate Development. In today’s call, Dave will provide opening remarks, Mark will discuss our overall financial performance and liquidity position, and Tim will provide comments on our operations. We will welcome questions after we complete our prepared remarks. I would like to remind our audience that some of today’s comments may include forward-looking statements reflecting Halliburton’s views about future events and their potential impact on performance. These matters involve risks and uncertainties that could impact operations and financial results cause our actual results to differ from our forward-looking statements. These risks are discussed in Halliburton’s Form 10-K for the year ended December 31, 2009, Form 10-Q for the quarter ended June 30, 2010, and recent current reports on Form 8-K. Our comments include non-GAAP financial measures and reconciliations of the most directly comparable GAAP financial measures are included in the press release announcing the third quarter results. Note that we will be using the term international to refer to our operations outside the U.S. and Canada, and we will refer to the combination of U.S. and Canada as North America. Dave?
David Lesar: Thank you, Christian, and good morning to everyone. We had another strong quarter. Our results, which by the way played out very close to how we thought they would, reflected the continuing strengthening of our North America business, as well as international market that basically treaded water in the third quarter. Revenues of $4.7 billion, represented a 30% increase over the prior year as we leveraged our balanced geographic portfolio to successfully counteract the negative Q3 impact of several significant markets, like the Gulf of Mexico, Algeria and Mexico, where we believe that business conditions for most service companies were significantly worse than the second quarter, which of course, put pressure downward on our earnings. Operating income grew 73% from the prior year, lead by a more than 10 fold increase in North American profitability. Let me provide some more details starting with North America. North America had another outstanding quarter, sequential revenue and operating income increasing 13% and 30%, respectively, out pacing the U.S. rig count growth of 7%. Incremental margins for the third quarter were 49% and North America margins increased to 24%, and we achieved this performance despite the very negative impact on revenue, operating income and incremental margins from the significant decline in our Gulf of Mexico business. The continued growth in overall activity and corresponding increase in completions intensity provided us with an incremental opportunity to adjust pricing across all of our product service lines, lead of course by production enhancement. Fracturing prices have continued to rise since the fourth quarter of 2009, but remember are still below 2008 levels. However, overall fracturing revenue per well has expanded driven by more complex stimulation treatments. It is important to recognize that by taking a leadership position and setting fracturing pricing, we likely got an initial jump in our competition in terms of margin performance in the second quarter and we believe that we’ve been able to maintain this leadership throughout Q3. The shift to oil and liquids-rich plays has been persistent, stood by stable oil prices. We believe that this shift will continue as evidenced by operator interest in acquiring additional acreage in the oil and condensate basins that have out paced the dry gas regions. We anticipate that incremental capital spending will continue to drive increased rig counts in oil, in liquids-rich plays like the Eagle Ford, Niobrara, Granite Wash, Bone Springs and other emerging basins in the Permian Basin over the next year and we are, of course, well positioned in these plays. However, natural gas fundamentals remain weak and we believe will exert downward pressure on those dry gas directing and -- completion basins in the coming quarters. We strongly and continue to believe strongly in the long-term prospects of the North market. Our footprint and integrated offerings give us a unique ability to experiment with new business models, customized to meet a wide range of customer economic thresholds. In certain dry gas basins, we are strategically working with a number of our key customers to improve their project economics by utilizing our drilling optimization technologies and workflows to drive a decrease in their total overall drilling and completion costs. For these customers, at the same time we are also moderating our price increases as we implement this model and are also committing to not move equipment from them to other locations to chase higher pricing. While this approach does not optimize short-term revenues or returns, we believe it is important to stick with our loyal and key customers in this low dry gas environment and to work together to build a long-term market stability. We believe this effort has the potential to reduce the number of rigs our key customers may have to lay down in response to any future weakness in natural gas prices. Our objective has been and will be to defend our market position by deploying sufficient capital to protect and sustain the strong performance of our North America business over the coming years. Our strategy is to align our business and equipment with those operators who value the efficiencies and optimization we can deliver through our full suite of capabilities to generate optimal long-term project returns for both our customers and ourselves. Going forward despite the potential weakness we see in natural gas fundamentals, we believe our North America revenue and margins are sustainable through 2011 due to the following factors. First, we estimate that oil and liquids-rich plays, which we believe are more sustainable now support almost 60% of the U.S. rig count and should continue to provide an offset to any reduction in dry gas activity, moderating the typical market volatility associated with the North American market. Secondly, completions intensity has grown dramatically over the last year and can also assist in the absorption of any new pressure pumping capacity. We have seen our horsepower requirements per job increase by over 50% in the last two years, while the number of hours that the equipment has utilized per well has also doubled. Additionally, we are seeing that the successful horizontal drilling and stimulation techniques that we are using to exploit unconventional gas activities are now being transferred and applied to both conventional and unconventional oil plays. Tim will talk about this a little bit in a few minutes. We anticipate that there will also be 2500 to 3000 uncompleted wells by the end of the year, driven by the requirements to drill wells to hold leases. This also can provide some stability to ongoing completions work for some time even in the lower rig environment. Further, we believe that this backlog could continue to build if rig count does not moderate and if income and pressure pumping capacity is added ratably over the next nine to 12 months. We also believe that a meaningful proportion of the expected pressure pumping capacity adds will be used to address increased horsepower maintenance requirements and the accelerated replacement and retirement cycles due to the hard use of equipment. As an example, over 10% of our fleet at any time is undergoing maintenance, therefore reducing our available capacity. This percentage has doubled in the last few years and we believe that Halliburton’s percentage of fleet down at any point in time remains lower than the rest of the industries. And finally, interest and development of unconventional resources internationally is also growing significantly. In contrast to North America, international unconventional resources are highly undercapitalized from an equipment standpoint, despite having estimated reserves three times the size of North America. We believe that Halliburton will meaningfully benefit from the emergence of these resources due to our global infrastructure and differentiated technical expertise. These factors all provide us confidence on our revenue and margin position in light of the influx of new capacity. However, this activity significantly declines, one significant advantage we have over most of our competitors is that we build our own equipment and therefore control its flow into the market. I want to tell you today that if we continue to stay laser focused on creating the highest returns for our shareholders, so our fracking activities significantly declines or we see margins come under significant pressure, we would look at immediately adjusting our build of pressure pump. Our Gulf of Mexico business declined sharply in the third quarter due to the impact of the drilling suspension. We were helped by our work on the Macondo relief wells. This work is now completed. In the fourth quarter, despite the lifting of the moratorium we anticipate even further deterioration of our Gulf of Mexico business. We continue to believe that Gulf activity will remain restrained as operators adjust to the new regulations. Today, we’ve transferred approximately 400 of our personnel from the Gulf of Mexico to other regions in the U.S. and around the world. I’m pleased to also say that we’ve hired 6,000 -- over 6,600 new employees in the U.S. since the beginning of the year, creating a significant number of new U.S. jobs. Let’s now turn to the international business and start with Latin America. Latin America experienced flat sequential revenue and lower operating income as robust growth in several countries was offset by significant decline in Mexico’s results. Brazil continues to be a bright spot and to grow significantly with revenue increasing 20% from the prior year. We also saw strengthen the Andean countries and in addition, the outlook for increased opportunities in Venezuela is improving as our customer focuses on that countries productions challenges. However, the Mexico market continues to disappoint me from month-to-month. During the third quarter our business was impacted by PEMEX’s suspension of drilling activity in the Chicana-Pac region, as well as severe flooding in the southern region, we have been working on three rigs on our southern alliance IPM project. We have now completed the transfer of excess capital equipment to other countries and adjusted our cost structure as appropriate to level of work available in the Mexico market for the coming quarters. Our operations in Mexico declined 12% sequentially with a corresponding sharp [decremental] margins. Our Mexico operations took a further P&L hit by severance and rig cancellation costs in the third quarter. In the fourth quarter our Mexico operations will continue to be impacted as we have not yet fully returned to work on our alliance project in Southern Mexico due to the flooding. There’s also speculation that drilling at Chicana Pac may restart toward the end of the year. However, given the low level of returns we generate on that project, as well as the uncertainty and the timing and scope of the work, we are evaluating whether or not we will participate going forward. Giving these lingering issues in Mexico, we do not anticipate meaningful improvement in our Latin business in the coming quarter. Now, let’s look at the Eastern Hemisphere. As expected, we experienced flat sequential results for our overall international business due to uneven growth across several geographies. We had strong double-digit revenue increases in the U.K., Russia, China and parts of Southeast Asia that were offset by significant project delays in Algeria, lower activity in Norway and low vessel utilization rates. We did see operating margins increase in some of our product service lines in the third quarter, but they were offset by poor margins in production enhancement. It is the product service line most impacted by low vessel utilization and the project delays that I mentioned. We announced three key wins in Iraq for a combination of new drilling and workover wells for Shell Majnoon, Eni in Zubair and Exxon West Qurna. We began the second phase of our base in Barge Sea with all of our product service lines now currently operating in Iraq. These new contract wins represent the first step in having profitable operations in Iraq by Mid 2011. However, we continued to incur significant start-up costs in the third quarter which obviously impacted our Eastern Hemisphere margins and this will continue for the next several quarters. We anticipate that we will see the typical sequential improvement in our international revenues and margins in Q4 due to seasonal year end increases for landmark, completion tools and direct sales for wireline and other equipment. Beyond the fourth quarter, we believe that global oil demand and growth will continue to show moderate recovery in international volume growth for the oil field services, and although, this will be positive we also believe it will be steady. In past cycles, the overall rig count rebounded from trough levels to prior peak levels in about four quarters but is limited to only a few select countries. This is consistent with the behavior of the current international cycle where five countries represented 70% of the rig count increase since the prior trough. We expect that activity improvements across the broader international market in 2011 will eventually lead to meaningful absorption of the excess equipment that that is out there and as the international rig count increases, more evenly across multiple geographies, this will enable international pricing to show improvement during 2011. However in the interim, international margins may progressively improve but we don’t believe the incrementals will be great as they are likely to be volume lead rather than price driven in the near-term. Longer term, we continue to believe that the global economic recovery will accelerate leading to global oil and gas demand in 2012 to exceed its prior peak experienced in the fourth quarter of 2007. If this occurs we expect a significant reduction in the industry’s spare production capacity leading to increased reliance in finding and developing new sources of hydrocarbons, a scenario that bodes well for Halliburton. So we continue to be very pleased with the strength of our balanced geographic and technology portfolios, several international markets are in a state of repair. Accordingly our plan during this period of transition is to continue to utilize our broad global capabilities to successfully defend our market position, continue to generate growth and improve our margins. Let me turn it over to Mark for some more detail.
Mark McCollum: Thanks, Dave, and good morning. Let me provide you with our third quarter financial highlights. Our revenue in the third quarter was $4.7 billion, up 6% from the second quarter and 30% from the prior year. Total operating income for the third quarter was $818 million, up 7% from the previous quarter. Our results included a non-cash charge of approximately $50 million to write-down our residual interest in the Sangu oil and gas project in Bangladesh. This legacy project started in 1996 and has overall been profitable for us. However, we’ve decided not to make any further investments in drilling the property and will likely exit our operating interest. International revenue was flat and operating income was down slightly in the third quarter, comparing the second quarter, excluding the non-cash charge. As declines in slight major markets like Mexico, Norway and Algeria offset strong growth in the U.K., China and parts of Southeast Asia. As Dave said earlier, we anticipate a sequential improvement in the fourth quarter driven by landmark, completion tools and direct sales of wireline and other equipment. Typically, international revenues and income have increased by the mid single digits from Q3 to Q4 related to these year end activities. As a result, we would then expect to see a sequential decline in international revenues and margins in the first quarter as these activities subside coupled with weather related seasonality. For North America, margins in the third quarter increased from the prior quarter due to strong activity and improved pricing across most basins. This was partially offset by the decline in our Gulf of Mexico business. To reiterate Dave’s earlier comment, we anticipate a further reduction in our Gulf of Mexico business in the fourth quarter. Additionally, we expect to see the typical moderation of our U.S. land results in the fourth quarter due to weather related seasonality in the Rockies in the Northeast U.S. Now I’ll highlight the segment results. I’ll be comparing our third quarter results sequentially to the second quarter of 2010 and I will be excluding the impact of the Q3 non-cash charge on operating income. Completion and Production revenue increased $262 million or 11% and operating income grew 23% due to the strength of our North America operations. Looking at Completion and Production on a geographic basis, North America revenue increased by 19%, while operating income grew by 48% from better activity and pricing. Halliburton benefited significantly from the continuing shift to oil and liquids-rich basins with increasing completions intensity. In Latin America Completion and Production revenue and operating income declined by 2% and 18% respectively, as the curtailment of activity in Mexico was partially offset by increased sand control revenues in Brazil. In Europe, Africa, CIS Completion and Production revenue and operating income decreased 5% and 23% respectively, with lower vessel utilization, lower activity and completion sales in Scandinavia, project delays in Algeria and the conclusion of a project in Congo offsetting increased activity in the U.K. In Middle East/Asia, Completion and Production posted a 6% sequential increase in revenue but operating income declined 14% as higher completion tool sales in China were offset primarily by reduced activity and mobilization costs for production enhancement in India and reduced activity in Southeast and Central Asia. In our Drilling and Evaluation division, revenue and operating income were essentially flat with the prior quarter due to uneven growth across several geographies. In North America, Drilling and Evaluations revenue was flat but operating income declined by 12% as the drilling suspension in the Gulf of Mexico impacted this division disproportionately. D&E experienced double-digit growth for U.S. land as most of our product service lines continued to benefit from the 13% increase in horizontal drilling during the second quarter. Drilling and Evaluations Latin America revenue was flat but operating income declined by 11% as lower overall activity in Mexico and a decrease in testing activity in Brazil was offset by strong activity in Columbia and Ecuador. In the Europe, Africa, CIS region, Drilling and Evaluation revenue was flat but operating income was up 25% as higher activity in the U.K., Russia and Angola offset an unfavorable product services mix in Norway and delays in Algeria. Drilling and Evaluations Middle East/Asia revenues and operating income were up by $25 million and $12 million, respectively, due to higher drilling activity in Asia. Corporate expenses were $62 million this quarter due to a few pension adjustments and higher legal costs. We expect the higher legal costs to continue for a while which will result in corporate expenses for the coming quarters to be in the range of $55 to $60 million per quarter. This quarter’s effective income tax rate was 34%, which was higher than our previous guidance. The rate though was impacted by an $11 million charge related to our reevaluation of the potential outcome on a pending tax case in Eurasia. We do however now anticipate that our overall effective tax rate for the fourth quarter will be in the range of 33% to 34% given the higher proportion of domestic income for the year. We bought approximately 3.5 million shares back toward the end of the quarter. This amount was sufficient to offset the dilution from the Boots & Coots transaction in mid September. And finally, we expect 2010 capital expenditures to inch up to $2.1 billion. We’ll be presenting our 2011 capital expenditure plan to our Board at the end of the year and will provide guidance on next years capital plan in our fourth quarter call. Tim?
Tim Probert: Thanks, Mark, and good morning, everyone. The ship to oil and liquids-rich plays has been a persistent trend with profound implications on the shape of activity growth in North America. This shift is perhaps best manifested by the expansion of the Eagle Ford. Transaction values for land acquisition in this basin have exceeded $7 billion over the last seven months, underscoring our customer’s great interest in this type of play. Meanwhile, the rig count has grown from approximately 40 rigs at the beginning of the year to over 100 currently. Halliburton continues to lead the industry in the efficient development of tools, technology and expertise necessary to help our customers develop complex plays like the Eagle Ford. Here, they range from relatively shallow oil sections to deep, high pressure, high temperature dry gas reservoirs with temperatures over 300 degrees and pressures over 10,000 PSI. Understanding reservoir attributes and applying these premium technologies has allowed us to develop a track record, which has delivered top quartile production performance for Eagle Ford customers, while providing increased levels of service intensity across Halliburton’s portfolio. Productivity improvement is evident in other oily basins, in the Bakken several operators are drilling 6,000 foot laterals with 30 plus frac stages. This compares to wells drilled two years ago with 2000-foot laterals in eight stages and has resulted in material improvements in well productivity. In the Permian horizontal rig count has grown dramatically and already represents approximately 16% of total rigs working in that basin as plays like the Bone Springs, Wolfberry and Avalon emerge. We believe the migration of unconventional techniques towards the development of conventional oil will support well stimulation demand in North America. The ship to liquids-rich and oily basins has an impact on service intensity, while construction activities, notably directional drilling, fluids and bits are favorably impacted by the growth in horizontal drilling, which is now 55% of total activity. From a stimulation standpoint, an oily basin such as the Bakken is today about 20% more service intensive than the liquids-rich Eagle Ford. However, completion schemes are of course evolving rapidly basin-to-basin. Dave?
David Lesar: Thanks, Tim. Let me just quickly summarize and then we’ll turn it open for questions. First of all for North America, the shift into oil and liquids-rich plays is going to lead to continued growth in overall activity for our U.S. land business. This will lead to further price improvements and higher utilization rates. Going forward we believe that the growth of these plays and corresponding service intensity remain opportunities for us and will serve to support the increase in demand for oil field services. Internationally the flat recovery we are experiencing today is consistent with the behavior of prior cycles. Going forward, we believe that volume increases will be steady but measured which will eventually lead to a meaningful absorption of equipment supply and giving us some pricing power some time in 2011. We obviously remain very bullish about the long-term prospects of our business. Our third quarter results reflect what we believe to be a very successful execution of our strategy in securing our key objectives of above average growth, margin and returns for our shareholders. Let’s go ahead and open it up for questions now, Christian.
Christian Garcia: Okay. Before we open it up for questions we would like to remind everyone that we would like to limit each caller to one question and one follow-up to accommodate as many callers as possible. Sean?
Operator: Thank you. (Operator Instructions) Our first question comes from Angie Sedita with UBS.
Angie Sedita – UBS: Great. Nice quarter, Dave, particularly in North America.
David Lesar: Thank you.
Angie Sedita – UBS: Dave, could you walk us through your thoughts on the margin progression in North America going forward? Could you see even margin improvements in a potentially flat rig market?
David Lesar: Yeah. I think the – yeah, it’s a good question and one we debate internally all the time. The short answer is yeah, we do. Remember one of the things I said is that pricing is not yet to the 2008 levels. Now, I’m not going to give you a margin goal because I think for competitive reasons, we don’t want to put it out there. But the reality is with the move to more oily, more liquids-rich plays, the efficiencies that we’re doing, some of these new business model opportunities we have with customers bearing fruit, I think that there still is juice in the pricing game going forward into 2011.
Angie Sedita – UBS: Okay. Very, very helpful. And then as a follow-up, just following along with pricing, you mentioned that you could see pricing, some potential pricing strength in 2011 internationally in a few select regions. Could you give us some color there?
David Lesar: Sure. I think that as I indicated, if you look at the rig count growth internationally although its been pretty good, it really was concentrated in five countries. And we see rig count coming up in other parts across the world. Algeria continued in Q3 to be a problem area for us and I think for the industry. And we see some signs that that is stabilizing at this point in time. Iraq, for us I think, should contribute some profitability as we get into 2011. And I think that will help because right now, we’re essentially incurring costs and next year, I think we will reap the benefits of that. So I would say that if you look to the offshore markets, West Africa, Brazil, places like that, I think that’s where you’ll see capacity absorbed and there for the ability to increase margins.
Operator: Our next question comes from Brad Handler with Credit Suisse.
Brad Handler – Credit Suisse: Thanks guys. Good morning.
David Lesar: Hi, Brad.
Brad Handler – Credit Suisse: Would you -- a couple unrelated ones. Could you give us a little bit more sort of quantifying the impact of the Gulf of Mexico in your business in the quarter? The revenue hit for example, margin hit?
Mark McCollum: Hi, Brad. This is Mark. You know, we had initially guided that the moratorium would impact us by about $0.05 to $0.08 per quarter, that, you know, that was coming off of a numbers that we had looked at on a historical basis. Subsequently, I think about a month ago we had indicated that because of our work on the relief wells, we were expecting that this quarter’s impact would be at the low end of that range. I think for competitive reasons we aren’t going to give any specifics today except to just suffice it to say that the results came in as we expected that they would. For Q4, I think the best guidance we can give you is that the range is still relevant. Again, it’s looking back at historical performance but that range is still relevant but we do expect that we will be higher in the range than we were in at Q3.
Brad Handler – Credit Suisse: Okay. Makes sense and thank you, that is helpful. And then maybe we could dive into the West African market a little bit, maybe to help to illustrate just some of the sluggishness that we’ve seen in activity. And I guess you have some confidence that the Angola market, for example, picks up but what -- do you have a better handle for example, on what has caused some of that sluggishness in activity and maybe that helps us get confident in how that’s going to start to turn and how that process works?
David Lesar: Yeah. I think -- this is Dave. A couple of things, the two big countries that drive West Africa are, of course, Angola and Nigeria. And we had won a significant amount of work in Angola earlier this year and have been basically in mobilization mode on that, especially in our drilling PSL and that work was really slow to get off the ground. But we start now -- we’re starting now to see the rigs get there, the work is starting and a lot of the mobilization costs are behind us. Nigeria is a bit of a different story in that although its been steady. It can be a good deepwater market and there are a number of projects that look like they are finally going to get off the ground but again, it’s more an absorption of capacity. Those are two countries where we have a very high cost base and you need to have a certain amount of scope and work to be able to cover that cost base. And over the past several quarters, we really haven’t had the volume of business to absorb that high-cost structure but we see that perhaps that is starting to change.
Operator: Our next question comes from Kurt Hallead with RBC Capital.
Kurt Hallead – RBC Capital: Hi, good morning.
David Lesar: Hi, Kurt.
Mark McCollum: Hi, Kurt.
Kurt Hallead – RBC Capital: Yeah. Just what I wanted to get a general sense first on Tim, you mentioned $7 billion in investment in the last seven months. I don’t know if I quite picked up on whether or not you were referring to the -- all the unconventional plays in U.S. or handful of different unconventional plays. And more importantly, do you think that the pace of investment is plateaued, do you think it is peaked or do you think it will continue to accelerate from here?
Tim Probert: The example that I was giving, Kurt, was the Eagle Ford and I was just picking it out as an example because there clearly has been a lot of activity there. And so the sort of 7 billion range relates to the transactions, which have been consummated there or at least announced there over the course of the last seven or eight months. But obviously, there are a lot of other transactions and a -- lot of other transactions and a lot of other oily basins too which I don’t have those details to hand. So to answer your question, we clearly are seeing the shift. We’re clearly seeing a significant amount of investment in these plays. And the data does not seem to suggest that it’s slowing down in any way. So we definitely believe that we’re going to see a continuation of that trend, including the sort of the joint venture type activity which brings if you like non-north America capital to play.
Kurt Hallead – RBC Capital: Okay. And then as a follow-up, Dave for you in the context of what’s going on with the natural gas technology and the service intensity and so on and so forth, I mean, would you be willing to venture a guess that the cost structure of the industry is going to be forced to come down such that we might not be seeing a $8 or $10 Mcf kind of natural gas environment, instead the operators will actually find, they will have the opportunity to make an economic process at $4 to $5 natural gas longer term? What’s your take on that?
David Lesar: I think you are right. The customers, I talk to, are really starting to do a lot of scenario planning in sort of the $3 to $5 range for a period of time. And that’s one of the reasons that we are starting to experiment with some of these new business models and it’s not a model that just flattens down service prices. It’s a model that optimizes the drilling, the completion cycle, the data, the information cycle and allows our customers to make a return and allows us to make a return. But clearly it plays into one of the strengths we have, which is our ability to integrate together a wide range of capabilities which I think certain of our competitors are not going to be able to do. So I think that the dry gas basins, it’s in everybody’s interest. I think U.S. national security, our customer base, the environmental impact, it’s in everyone’s best interest to figure out a way to make the dry gas basins play out and produce and be profitable for everybody at a lower natural gas price and that’s our goal. And I’m confident that we can help our customers accomplish that.
Operator: Our next question comes from Jim Crandell with Barclays.
Jim Crandell – Barclays: Good morning.
David Lesar: Hi, Jim.
Mark McCollum: Hi, Jim.
Jim Crandell – Barclays: I have a couple questions about Iraq. We have a potential market unfolding that could be five to 10 billion over time and probably very good margins for everyone. You bid very aggressively by all counts to win three significant projects. I guess, two questions in regard to that. Number one, your competition says project will get rebid after the first year so there’s no real advantage in winning them at what they call breakeven to a loss. I know, you said you bid in the skinny margin so let’s just say breakeven? And then secondly, to get strong returns over time, it would seem you have to walk up prices significantly and does that whole task become a lot tougher given that you bid so low to win these first group of contracts?
David Lesar: I think, I guess, Jim, I’ll take a couple of issue. I don’t know what our competitors are saying because they obviously don’t say them to us, they say them to you. But I guess I would take issue with a couple of things. One, we believe that there is a first mover advantage in new markets and we want to be one of those first movers and therefore, we are bidding and winning work. We are establishing our capabilities on the ground, we are building a reputation within, not only the IOC customer base but the national oil companies that are watching the western service companies come in there. Two, one of the things that we have experienced is it takes a long time to bid and get a tender approved. And so I think that our view is by being on the ground, by working, that we have the opportunity to extend some of these contracts beyond their initial term because of the difficulties that a number of our customers have in getting things up and going. And three, I think that by building the critical mass, by being the first mover in terms of an advantage, by having all of our product lines on the ground, we will have a lower breakeven point than maybe those competitors that believe they can walk in later and that’s our strategy and we’re sticking with it. And I believe it’s going to pay off for us in the long run.
Operator: Our next question comes from Jeff Tillery with Tudor Pickering.
Jeff Tillery – Tudor Pickering: Hi, good morning.
David Lesar: Hi, Jeff.
Jeff Tillery – Tudor Pickering: Dave, on Mexico, you laid out relatively cautious outlook for the near term. How do you see that market playing out over the next 12 months. It seems like you’ve obviously had relatively bullish quotes in the press. I’m just curious how you see that market playing out?
David Lesar: Well, I think, if you go back 12 months ago, there were relatively bullish comments made by PEMEX at that time. And I don’t say that in a disrespectful way to PEMEX, its just think it’s in their interest to keep as much of the service company interest engaged in Mexico for as long as possible. However, we have a business to run not only in Mexico but in the rest of North America. And there is a lot of demand for the equipment that we have tied up in Mexico or had tied up in Mexico. So it’s still a market that we like for the long term. We have won a significant amount of discrete services bidding that’s gone on down there in the past several months. But as far as these integrated projects go, I think the on again, off again nature of them really doesn’t lead to an environment where you can make consistent profits. So that is certainly something that we are going to reevaluate if those opportunities come back up. Ad we’ll have to decide whether we want to participate in them or whether there are better opportunities either for discrete services in Mexico or to pull that equipment or additional a pond of equipment out of there and redeploy it to other parts of the world.
Jeff Tillery – Tudor Pickering: That’s helpful. And then my unrelated follow-up question, just the commentary on the call and in the press release around the sustainability of North America and increasing service intensity into next year struck me as more positive than you guys have laid out in the past. Is that -- are contracts at all playing a function to that or is it just the behavior you’re seeing from the customers in terms of increased activities in liquid rich and oil plays?
David Lesar: No, I think it’s really a combination of the demand we see in the liquids-rich and the oil plays and again we’re very well positioned in those markets from an infrastructure and a technology standpoint. The other thing is we are positioned with the right customers that are the big players in these areas. So I think that as maybe the dry gas basins come under pressure, we will be less susceptible to margin pressure, margin declines in those areas. And we will be better positioned in the more liquids-rich end of it and that’s what gives us the confidence that this thing is sustainable to 2011. And then you just look at the demand that’s out there, we can’t get to all of the work for the customers and those key customers that we have today. So as they go to these new plays, we are getting stretched in term of our ability to serve them. So there’s actually in my view sort of a built-in market and market share that we could get with our existing customers, if we had more equipment. And then I think lastly our ability to integrate and optimize the drilling and completion cycle, all is what gives me confidence that this thing is sustainable, certainly through 2011.
Operator: Our next question comes from Ole Slorer with Morgan Stanley.
Ole Slorer – Morgan Stanley: Thank you very much. Just following up a little bit on Iraq, you own a lot on Iraq over the past six months you highlighted there are some strategic reason, I think, for why you wanted to bid there early. At what point once we look through the inevitable stock up costs of getting established and getting a baseline run rate, can you give us some idea of what dollar and rate revenue you’re targeting off the existing contract awards that you’ve been – that you’ve won?
David Lesar: Well, I mean, I’m not going to, Ole, I’d love to give you what our expected margins and returns are. Suffice it to say that over the terms of these contracts, we expect to make money on them and we expect to be profitable and making meaningful sorts of returns by mid 2011.
Ole Slorer – Morgan Stanley: So by mid 2011, would that then imply that you would have a margin of Iraq that would be equal to, let’s say, the margin that you have in that geographic region, Middle East, Asia?
David Lesar: No, I think the Middle East region is reasonably profitable place for us now. But I think by mid 2011 we’ll be earning our cost to capital and we’ll have the upside from there.
Operator: Our next question comes from Bill Herbert with Simons.
Bill Herbert – Simons: Thanks. Good morning. Back to the road map for international here for a second, if I understood what you said here, volumes grind higher, margins are basically volume metrically driven going into next year and then at some point, we get better absorption and some net pricing. And with regard to the better absorption and some net pricing, we identified some offshore markets in Iraq but except that, I’m unclear as to where your expectations are for the most significant improvement next year. I think – I mean, the best commentary you provided ex Iraq was Algeria has stabilized. Are there any significant markets in the Eastern Hemisphere other than Iraq that you expect to witness well above average rates of improvement?
Tim Probert: Well, this is Tim, Bill. So let me, let’s just sort of go back to the trough last year, Q3 last year and sort of take a look at where we have seen or where we have the greatest momentum. And we call these double digit countries so the double digit growth rates and better, so as you would expect, Brazil, Argentina, the Andean countries in Latin America have all been very positive in that double-digit group. Libya, Nigeria, Russia, Oman, those also have very good momentum as well. And as you heard in Mark’s commentary, most recently we’ve sort of also seen some very good improvement in the U.K., in Venezuela, China and of course, Iraq and Southeast Asia, so I think what we’re starting to see is, I described those that have the historical momentum from the trough last year in Q3, so that’s a clear year-on-year comparison. And these additional countries that I just mentioned are starting to gather some momentum as we’ve seen on the sequential basis. So I hope that gives you a little bit of guidance in terms of where we’re seeing some of the improvement in activity.
Bill Herbert – Simons: Okay. And then the follow-up here, Dave, with regard to the road map for deepwater ex Gulf of Mexico, one of the things that you mentioned at our gathering a few months ago in Scotland was that a fall out from Wauconda was increased introspection and reticence on the part of the IOCs with regard to reviewing deepwater drilling processes and yet we’re beginning now to see some signs of life sort of percolating in Algeria – and not Algeria -- Angola and other ports of call. Can you refresh us on your views with regard to international deepwater and how you expect that to unfold over the next call it 12 months?
Tim Probert: This is Tim. I’ll take that one.
David Lesar: Sure.
Tim Probert: We can -- I think let’s just talk about the geology first of all and then we can talk about activity. I mean, I think what we are seeing clearly is a historically we’ve seen about 75% of the spend in the so-called Golden Triangle, Brazil, Gulf of Mexico and West Africa, and that’s still going to be very important for us. But clearly, what we’re also starting to see is a significant increase in new provinces, obviously Eastern Mediterranean, Malaysia, North West Shelf of Australia, just to name a few and they are becoming important new exploration provinces for our customers. So we definitely see that expanding. Secondly, with respect to the degree of introspection, I think there certainly has been a certain amount of introspection on behalf of our clients. They operate with global standards across the globe. And I think they are all working very hard to make sure those global standards are consistent with good practices. And there’s no doubt in our mind that we’ll continue to see good growth in deepwater activity around the globe.
Operator: Our next question comes from Geoff Kieburtz with Weeden & Company.
Geoff Kieburtz – Weeden & Company: Thanks. I’d like to come back to your comments, Dave, about the new business model. I guess, I’m -- maybe I’m not getting the message clearly. But you talked about the capacity constraints, you’re having difficulty serving all of your customer’s demands but it sounded as if the purpose of this new business model was to some extent investing with your clients to help them bring down the breakeven cost of developing. It sounded like dry gas particularly, so are you engaged in a kind of an investment in the future here that maybe is not quite optimizing current results?
David Lesar: No, Geoff. That’s exactly right. Maybe I didn’t articulate it very well. But yeah, this is – this is clearly focused on the dry gas basins, not the liquids-rich or oil basins. You know, a large number of our customers have got a basically a foot in both camp, the dry gas camp and the liquids-rich camp but there are some customers that by the nature of their assets are much more focused on those dry gas plays. And we, in particular, in the industry have always tried to develop new business models to reflect sort of the realities of where natural gas pricing is in the U.S. And we do believe that natural gas is going to play a large part in the U.S. energy future and therefore our business future. And that it’s up to us to find a working together business model for the dry gas plays that will allow our customers to keep their rigs up and therefore working with us in an environment, sustained low natural gas price environment. And it’s also modeled that allows them to make money and it allows us to make money and the kind of returns we want. So it’s a bit of an experiment. Yeah, it did sort of suboptimize the profitability that we could have had. It would have been easy to move that equipment into an oil shale or a liquids-rich shale, but these are good customers of ours. They are key customers of ours and we believe that it’s worth an investment in finding a business model that works for both sides and that’s what we’re doing. So the commitment is to moderate price increases to them and not to move equipment away from them while we work on this new model.
Geoff Kieburtz – Weeden & Company: If I could, the follow-up question is on the international front. You’ve talked a lot about where you see the growth or building momentum. Are there any significant markets where you don’t think activity has yet hit bottom or profitability has yet hit bottom where we might see some further erosion?
David Lesar: In the International Markets, nothing really pops into my mind, Geoff. I’ll think about it while some of the other questions come in here. And if somebody points to me with an answer, I’ll give it to you but nothing off the top of my head.
Operator: Our next question comes from Dan Boyd of Goldman Sachs.
Dan Boyd – Goldman Sachs: Hi, thanks. Dave, I just wanted to follow-up on your earlier comment about spare capacity in the international market. Where do you think we are in terms of how much spare capacity there is from a service perspective and in the five markets where you actually are seeing activity increasing, are you able to start getting pricing or is that still some time off as well?
Tim Probert: There clearly is some excess capacity in the international markets. So bear in mind that the international markets are not like the North American market. The North America market is pretty homogeneous. You can easily move equipment from one place to another. The international markets tend to be much more compartmentalized. So you can get local pricing and volume effects much more easily in the international markets. We definitely feel that the international markets are still very competitive and as we sort of outlined a little bit earlier, we expect margin improvements to come through volume rather than through pricing until we get into 2011.
Dan Boyd – Goldman Sachs: Okay. So then you are getting pricing in some of those regional markets and the follow-up would be in a volumetric driven recovery how should we think about incremental margins? Is that low 20% range?
Tim Probert: It’s going to be obviously very market specific. And I don’t think we really want to provide some guidance specifically on what those incrementals might look like.
David Lesar: Let me just add one point to what Tim said and go back to one of my earlier remarks is that we actually had product service lines whose margins did increase in Q3 in the Eastern Hemisphere but those margins were overwhelmed by the decline in margins for PE, as I said because of low vessel utilization and primarily PE was impacted by the project delays. So it wasn’t a homogenous market with respect to that. We do have product lines where the margins are moving up in the Eastern Hemisphere even in Q3.
Dan Boyd – Goldman Sachs: Okay. Thanks.
Christian Garcia: We’ll take one more caller, Sean.
Operator: Sure. Our final question comes from Robin Shoemaker with Citi.
Robin Shoemaker – Citi: Thank you. So Dave to follow-up on what you’ve discussed previously, are we going to see a two-tier pricing structure for pressure pumping in North America between the dry gas basins and liquids-rich. Because I assume if you are going to be accommodating on pricing that other competitors of yours would have to do the same?
David Lesar: Well, I don’t know how the other competitors are going to respond specifically but I would suspect that would be a likely outcome.
Robin Shoemaker – Citi: Okay. And my follow-up is that in some of the basins where there’s the most acute shortage of pressure pumping capacity, some of the E&P companies have decided to build and own pressure pumping spreads of their own. Is that a trend that concerns you?
David Lesar: No. I think we certainly have looked at those announcements. We actually have talked to some of those customers about the rationale for doing it. I think that if you look at where we are positioned, we’re really not concerned about that. I think the companies that are to be concerned about that are those smaller pumping companies that don’t have additional product lines that will have to compete directly with that customer-owned equipment. But in our case, we see sufficient demand out there in the market that although it’s something we’re watching, it’s not something that bothers us at this point in time.
Robin Shoemaker – Citi: Thank you.
Christian Garcia: All right. That will do it. Thank you for you participating in today’s call. Let’s close it out, Sean.
Operator: Thank you, ladies and gentlemen. Thank you for your participation in today’s conference. This does conclude the conference. You may now disconnect. Good day